Operator: Thank you everybody for joining us, and welcome to SL Green Realty Corp's Fourth Quarter and Full Year 2007 Earnings Results Conference Call. This conference call is being recorded. At this time, the company would like to remind the listeners that during the call management may make forward-looking statements. Actual results may differ from predictions that management may make today. Additional information regarding the factors that could cause such differences appear in the MD&A section of the company's Form 10-K and other reports filed with the Securities and Exchange Commission. Also during today's conference call, the company may discuss non-GAAP financial measures as defined by SEC Regulation G. The GAAP financial measure most directly comparable to each non-GAAP financial measure discussed in the reconciliation of the differences between each non-GAAP financial measure and the comparable GAAP financial measure can be found on the company's website at www.slgreen.com, by selecting the press release regarding the company's fourth quarter earnings. Before turning the call over to Mr. Marc Holliday, Chief Executive Officer of SL Green Realty Corp., we would to ask those of you participating in the Q&A portion of the call to please limit your questions to two per person. Thank you. Go ahead, Mr. Holliday.
Marc Holliday - Chief Executive Officer: Okay. Thank you, and thanks everyone for dialing in today. You wouldn't think that much would have transpired in just six weeks since our Annual Investor Conference that we held on December 3rd, but that clearly is not the case. We have quite a bit of news to report to you on the fourth quarter performance, and achievements that we were not in a position to discus on December 3rd, but can now, almost all of which is quite positive. And also there has been on the sort of the converse side of things a continued downward trend that's accelerated in over those six weeks that one can argue as the market behaving as you would expect it to behave, given the current conditions of the credit markets, but clearly warrants some more time and attention on this call as a follow-up to December 3rd. So, just again take a moment to thank the over 400 people, who either attended or dialed into that call in presentation back in December. We covered an hour and a half at ground. Hopefully, people found it very productive. The feedback was good. All of that still stands today, but for whatever we modify on the call, given all these tweaking our strategies in light of current market conditions. So with that, we'll sort of jump into things and take some questions at the end. I already see the queue was buzzing with about 10 or so people with questions lined up, which is interesting, because we haven't got into the meet of the call yet. But let me sort of dive in. Clearly the fourth quarter results were, I thought especially satisfying, and we were really proud, not just of what we achieved or what we achieved in a market environment, that's very, very tough. It's tough for you guys, it's tough for us, tough for everyone. But with that said, we continued our motivation throughout the year to try and put even more performance on the table on top of everything we went through on December 3rd. And I think hopefully those results are obvious too when you read through the release. Occupancy held relatively steady at around 96.6%, while new lease rents replacing, inspiring, rents had a 43% mark-to-market. We sold two buildings for gains aggregating $225 million while also acquiring the $1.6 billion assets located at 388 and 390 Greenwich Street from City Corp. on terms that we believe are reflective of today's current credit crisis, and Andrew will discuss a little more about that later on. We also received a record amount of fees, dividends from SL Green's investment in Gramercy Capital Corp., and that's even before factoring in Gramercy special dividend payment, which was paid out to Gramercy shareholders and therefore received by SL Green among others in January, and SL Green share to One Madison Avenue incentive fee, which we did receive throughout the year, but accounted for in a different fashion as Greg will tell you and not included in the fees and dividends. We also signed three major retail leases during the quarter; one of which was awarded happily to report the most expensive retail deal ever by the New York Post, and Andrew has little bit more to say on that. Adding the fact that we increased our structured finance portfolio by almost $120 million net and increased our quarterly common dividend by 12.5% and you have the makings of what I would call an exceptionally good quarter to capital off what was an exceptionally good year. However there were no champagne course popping at the end of the year due primarily to the fact that in the phase of all that we accomplished in Q4 and on top of that full years worth of achievements outlined in December or stock price was down considerably along with the rest of the REIT sector as investors seem to be looking past all of this performance and instead are using SL Green's currency, which many consider a proxy on the health of the New York real estate market, commercial real estate market to make directional debts, our New York City rental rates and Manhattan office prices. Therefore I will take a moment to discuss more fully these two areas and try to contrast the current market conditions that we see now at the beginning of 2008 with the last U.S. recession in 2001 and on into 2002. Turning our attention to leasing first, you will recall it since June 2007, we have been sounding cautionary signals on our earnings calls regarding what we believe would be a gradual slowing in the leasing market as a result of the anticipated pullback and space requirements form the financial services sector. This a fairly logical conclusion, so we didn't go on a limb, I don't think certainly not in hindsight to reach these conclusions given a negative event surrounding financial services firms and clearly many market participants shareholders, investors have gone far beyond our cautionary signals as it is currently reflected in our stock price. To our surprise and pleasure, the leasing market held up well during the second half of 2007 with SL Green leasing over 620,000 square feet space during that period of time at an average mark-to-market of approximately 51%. More broadly during the last 75 days, I guess beginning some time around beginning to middle of November looking at all properties, all leases in Manhattan, we are aware of 18 new and renewal transactions totaling 4.1 million square feet that have been closed comprised the blocks of space of 100,000 square feet on up. Whether new or renewal leases almost in every instance, these leases included not only existing needs, but growth and expansion over and above what existed before the leasing. The 18 tenants are made up almost exclusively of law firms, advertising and PR firms, and government users with only a handful of financial service sector tenants. This demonstrates one of Manhattan's greatest strengths, which is the diversity of its businesses and the ability for one sector to fill in the void when another is in decline. While we can't forecast whether Q1 leasing activity will be consistent with the past 75 days, we are aware of a number of transactions that are close to signing as we speak, and we do believe that in general the Q1 leasing stats will continue to look reasonably good, especially when you adjust it in the light of current conditions that was surprisingly good, we believe. While these leasing statistics appear strong, there are other visible signs that the momentum is slowing. And those signs are clearly the absence of the financial service users with their large requirements that had not just absorbed inventory, but really drove rents to their current levels. While rental increases have abated, nominal rents have not yet begun to decline, nor would we expect nominal rents to decline before landlords begin to expand their concession packages. So I think, keeping your eye on concession packages first, because that would be the first indicator that there is something structurally pulling the net effective rents in the different direction. We didn't really have materially different concession packages in Q4, nor do we expect to in Q1. So again, we are not seeing this yet occurring in the market, but clearly that's what you would look for and what we would anticipate to happen, if the demand were to subside. In shaping our projections of where we see leasing performance, not looking back over 75 or 180 days, but looking forward over 2008, and contrasting that against where we were in January of 2002, I think there is a lot of interesting comparators to make. At each point in time today versus January of '02, we were approximately nine months into an economic downturn that eventually became a full fledged recession. However, you should note the following. First, we are starting off in a much better position now than '01 and '02. We have a 6% total vacancy rate versus 9% then in midtown and downtown. We are currently at a 7% vacancy rate as contrasted against approximately 12% at that time. So we are starting off, obviously, from a much better position with much less inventory. That probably is meaningful statistic as anything. The other one that, I would say ranks number two is that the component of total availability represented by sublet space is almost negligible. In each case, it is only about 1% of the total vacancy that consists of sublet space. So for midtown, which has a 6% total vacancy, approximately...I want to get this number exact here, approximately little over 1% is sublet space and for downtown it's actually 0.9% of the 7% I spoke of earlier. So why is that so important? Direct landlords, who have strengths, have capacity, are in a much better position to market, hold rents, work the leasing markets in a way that sublet tenants do not. Sublet tenants will put it on the market; they will often put on fully built space. They will cut their rents to move and move quickly, and it's not a driving economic consideration what they get for the space. With us, our business line is the renting of space; we are highly focused on it. And us along with our peers, I believe are most focused on not cannibalizing ourselves in the market and having an approach, where we know that direct...lots of direct space or still hard to come by in this market. We are going to hold out for the right deals at the right rents without being reckless in terms of letting good opportunities go by. But I don't think you are going to see panic leasing: one, because the vacancy rates don't warrant it; and two, because most of that space is in the hands of the landlords not the sublet holders. Another interesting statistic is that new construction today is much scarcer than it was back in '01, '02, '03 when there was about 10 million square feet of space delivered to the market. Today it is only 6.5 million square feet slated for a completion in '08 and '09, and of that amount only about 25% is currently available with no new starts scheduled to start beyond. So much less overhang, even though the overhang...even the 10 million feet on the market decides it's not that significant, 6.5 is even less, so in a 1.5 million available is almost negligible. Financial service firms are much a leaner than they were back in '01, '02. I think that the combination of them getting much smarter about their space uses and being able to double up and triple up bodies along with a knowledge that if they were to give back space in size today to try and go out and replicate getting that space back in two or three or four years could be very, very expensive and also very hard to locate within one building. We have not seen significant sublet space coming back from these financial service tenants. There were security issues that are more heightened today and then I think they were back in the beginning of 2000. And I think is a result, you'll...it's not to say, everyone is not bottom line focus and you will see space being put on the market, simply think it will be much less volume than you saw back in the beginning of 2000. Foreign demand in general because of the dollar and just because of the way the economy has been transforming itself most evidently, I think Manhattan at least for domestic cities. There is still a lot of demand coming from foreign tenants, foreign companies. Some are in size, some are not in size, but there has been several leases that we have seen that have gotten signed on that basis. And we would hope that not just demand for commercial office space, but also just the economic support in the resi market and the retail markets from these companies and these, in certain cases the tourists, who come to us for vacation here, spend money here, and buy second homes here, has clearly had a buffering effect on our economy. In our portfolio in general, is now what I would call much more of a fortunes portfolio than we had in early 2000 with very strong credits on average and the absence of some of the smaller non-core less creditworthy space users this that portfolio was evidenced by back then. So for all of these reasons, we are more optimistic on the outlook for the New York City leasing market than clearly some of our investors appear to be. While a 10% to 15% decline in net effective rents over the next 12 to 18 months is possible, we would hope and expect to maintain not less than a 25% mark-to-market on renewals, which would continue to drive organic earnings for the company and maintain our status as a growth stock during a period of time when not many sectors into our companies will have that amount of embedded growth on a market adjusted basis that we believe we will have. Turning to the investment market before turning it over to Andrew; while our leasing management construction groups certainly will have their end of the bargain to hold up by leasing and retaining our tenants, the investment group is also working diligently at finding ways to deploy our $1 billion cash availability in ways that will continue to drive external growth. There seems to be prevailing views that asset values must have decreased sizably along with the credit market dislocation to the contrary in the past six months there have been 19 buildings that have traded hands for a total aggregate purchase price of around $7.5 billion, representing roughly $860 per square foot at an average cap rate under 4%. We are aggressively looking for growth opportunities, and had combed each of these situations, often concluding that we should either pass or making proposals that were below the prices ultimately achieved by sellers. In some cases that pricing that we put on was around 15% below the ultimate accepted asking price. That's why when we cease the point in opportunity like the Citigroup properties on Greenwich Street, we were able to act quickly and decisively for something we thought fit our current and long-term growth profile, and gave us an opportunity to select what we think was the best of these opportunities, only one out of 19 by number, but about 20% by size of opportunities. So obviously, we made efficient use of our time and effort by striking on something that was of a scale opportunity, where we also think we have very, very good returns. Once again as in 2002, I would expect the effect of reducing debt cost to have a sustaining effect on property values, even if there is mitigation in the net effect of rental rates that we get. Recall that in '01, '02, '03, rents were down as much as 25% to 30%, although in conditions that I think were measurably different than today and I just went through those specific reasons, where I think there were differences. However, as a result of falling LIBOR, which briefly hit 1% in the 10 year treasury, which floored flowed with 3%, asset values then held steady, and in certain cases increased over what was then a pretty difficult period of time. In its simplest form, the cap rate is nothing more than the blended cost of funds minus expected growth in NOI. Cleary, a declining rental market should result in higher cap rates, unless offset partially or completely by a reduced cost of funds. While we are not necessarily projecting that rate reductions will be sufficient to inflate values, we clearly see the rate reductions is a stabilizing effect to mitigate any potential or forecasted rental rate decline, which in and of itself we would view with a temporary phenomenon for one to two years, until the market recovers and strong tenant demand returns to New York City, which we still think is the best, deepest, most diverse, and most attractive all for CBD and the country. This would be...this view that we hold would be entirely consistent with 2001, 2002 and 2003, and also consistent with what we have seen so far in 2007, and the first quarter of 2008. Obviously, current market conditions are no secret, and yet as I stated earlier, 19 deals, $7.5 billion are a very aggressive cap rates. All those people are sophisticated buyers looking at the same metrics, we all look at, and they have decide that with falling cost of funds and with more equity requirement still getting the prices that are very, very healthy asset prices, notwithstanding I think everyone's recognition that the leasing market will be tougher in '08 and '09. While the 10 year rate is approaching level last seen in '02, the shorter-term rates consisting of two year treasury, the 90 day LIBOR have long way to run. As the case in point, the longer-term forward curve for LIBOR would predict a LIBOR rate below 2.5%, down from 5.5% when the current credit crisis began, will be at now I guess roughly 3.7%. We would hope to see LIBOR follow suite with U.S. treasury rates, short-term rates, once into bank lending policies losing throughout the year, which I think one would expect to happen if their banks have written down their debt inventories. So given all of that, our basic conclusion for '08 is that it is going to be a very tough year, where we have to shape, I guess rollup our sleeves and work very hard to keep harvest thing, the embedded growth that we have, and to find new opportunities that will once again be accretive out of the blocks, or near term as opposed to having to wait for that accretion over a longer period of time, and we have a fortress portfolio and a balance sheet that we put together over the last 10 years that was really designed for this moment in time. We are guardedly optimistic that we will demonstrate to the market, how our evolving strategies have come to put us in a position, where we were able to maintain market leading embedded growth rates with sufficient capital to take advantage of new opportunities, and to keep recycling, our mature properties and some new growth opportunities that will generate external growth at a time, where we have falling interest costs. And nobody is more focused on rebuilding our stock price back to prior levels than myself, Steve, Andrew, Greg, and the rest of the management team and employees at SL Green. We will do everything possible to recover and exceed those prior levels. With that, I would like to turn it over to Andrew Mathias.
Andrew W. Mathias - President and Chief Investment Officer: Thanks, Mark. As we mentioned at the Investor Conference, we continue to see strength in the Manhattan investment sales market at pricing consistent with fall of 2007 levels. On the investment front, we finished up 2007 with an exciting fourth quarter capped off by our purchase 388, 390 Greenwich Street from Citigroup. This deal represented the most compelling economics we have seen in a New York City transaction in several years, economics that thus far look like they were a result of tenacious deal making rather than indicative of a dramatically softening investment sales market. At a 6.3% going in return with a 13 year non-cancelable lease with CPI escalators and just as importantly at a per square foot basis of $600 per square foot were less than 50% of replacement costs for these properties. We believe this investment will pay enormous dividends to our shareholders both on a current and residual basis. Later on an innovative financing structure giving a 68.5% leverage at 5.19% and our joint venture with our long time partners at SITQ and we think the transaction is really on all fronts an out and out winner. The transaction also presents our partnership within the opportunity to reverse exchange into the deal. A strategy we actively deployed on the Reckson acquisition and the strategy will continue...consider employing here depending on the bidding level for 1250 Broadway and asset in a venture with SITQ, which we are currently considering selling. Our sales program continue to be very active in the fourth quarter as well with the closing of the 470 Park Avenue South sale and the hard contract for 449th Avenue, which we expect to close in the coming weeks. As we indicated our December Investor Conference, strong interest in these properties gave us renewed conference in sales market. In our retail program, we had our strongest quarter ever. The American Eagle lease we announced on the heels of our investor conference was the highlight as we found the credit anchor tenant we've been searching for to Howard Johnson's site in Times Square. The site will be improved to the spectacular retail store and cutting edge signage installation. When completed in 2009, this will be the third goalpost in the heart of Times Square. In other news we completed the leasing of the remaining 50 feet of our 34 street side signing Aldo and Geox to long-term leases at very compelling economics. Demolition on the site has begun and this additional leasing completes an economic home run for the company and our partner Jeff Sutton. Jeff's tenacity in completing this leasing was truly extraordinary with some strong assistance and back up from SLG's investments and construction operations teams, great job to everybody involved there. The power of this partnership was on full view with our results in the fourth quarter. Finally on the structured finance front, we continue to take advantage of market dislocation primarily through co-investments with our Gramercy Capital Corp. affiliate. The investing environment improved with some year end specials notably from dealers, who needed to get assets off their books by year end and needed to hurry to close deals. Gramercy and SL Green's team was ready and took full advantage of these opportunities. We continue to discover the landscape for additional investment opportunities and see a fairly active 2008 on a structured finance front, where new opportunities seem to be presenting themselves daily. And with that, I would like to turn the call over to Greg to take you to the numbers.
Gregory F. Hughes - Chief Financial Officer, Chief Operating Officer: Great, thanks Andrew. I guess probably the biggest change since the investor conference is the fact that the credit crunch has intensified and that the New Year did not bring with it the relief to that that many had predicted. And as a result of this, you are seeing out in the marketplace continued scrutiny and focus on company's balance sheet. We have the good fortune of monitoring this closely in any market, including when there is abundance of capital. And so there should be no surprise that we finished the year with a very strong and liquid balance sheet, benefiting from the active asset sales and capital raising efforts that we undertook during 2007. We finished the year with $750 million of availability under our credit facilities and this amount will increase to approximately $900 million upon the sale of 449th Avenue scheduled for the end of this month. Our debt carries a weighted average maturity for approximately six years, having termed out the lion's share of our debt as we transform the balance sheet during the year. Our debt at 1250 Broadway and 1515 Broadway, which had initial 2008 maturities, both carry as of rate extensions, which could take those maturities out to 2009 and 2010 respectively. Of course, we currently expect the debt on 1250 will be a repaid from the sale of that asset. Accordingly, the only meaningful near term maturity that needs to be addressed is at 717 Fifth Avenue. Discussions for this are already underway, and we expect that our recent deal with Armani should make this a fairly straight forward exercise. So as you can see, we have no near-term maturities to be concerned with and we remain very liquid. As we have often talked about, this liquidity enables us to be opportunistic on the investment front. This liquidity helped us close quickly on the Citigroup acquisition and the structured finance opportunities that we alluded to in December, started to take shape with the $120 million of investments that Andrew referenced, all of which closed principally during the last two weeks of December. Last, but not least, this liquidity enables us to buyback our stocks at levels, which we think are veryattractive. In addition to being accretive to us on an NAV basis as we outlined during our December meeting, it is also very now accretive on an earnings basis, given that our stock trades at an FFO yield of approximately 7.5%. Today we have bought back $188 million of stock under the $300 million plan, which has been authorized by the Board, and had an implicit cap rate of 6.5% and a price per foot of approximately $460 a foot, we would expect to be continued buyers. Other items that have known in the balance sheet include the following. Our investment in Citigroup's headquarter building shows up as a $535 million investment in joint venture along with a $277 million of consolidated debt, reflecting a partnership loan from SITQ. So our $818 million gross investment for the 50.6% interest in that building was funded with $258 million of cash, a $277 million partnership loan from SITQ, and $283 million of mortgage financing, representing our share as the venture's underlying first orders. This attractive acquisition with an innovative capital structure provides us with an initial cash return on equity of 8.6%. As we have discussed throughout the year, we completed our 141 analysis with respect to our 2007 acquisitions, most notably the Reckson assets. The recording of this adjustment is the primary contributor to the increase in building and other assets for the quarter, as well as the deferred revenues you have seen recorded during the quarter. As we mentioned in December, we expect the amortization of these deferred revenues related to the Reckson acquisition to contribute approximately $15 million of incremental revenue in 2008. As we leave the balance sheet, we feel comfortable that we remain liquid, flexible, and modestly levered. With all these metrics have received lesser attention given the ample capital that was...has been available over the last four years. They will become more important as we move forward, and we believe in this area we stack up very favorably. Turning to the P&L; the quarter provided a strong finish to an extraordinary year in which the company posted sector leading FFO growth of 25.4%. Leasing remained healthy with a mark-to-market of 42.7% on the close to 300,000 square feet of office space signed during the quarter. These leases were achieved with TI packages that averaged just $15 and free rent of just 1.4 months, so the concessions on these leases remained modest in response to and as people think about the concession commentary that market provided. These leases carried an average rental rate of $65.68, the highest quarterly average in the company's history, a testament to the rental growth that we have seen, as well as the transformation of the property portfolio to a higher quality portfolio that carries higher average rents and higher operating margins. Portfolio finished at 96.6% occupancy even with the scheduled occupancy declines at 420 Lexington Avenue, 317 Madison, and 711 Third Avenue. The occupancy numbers also include a 100 Park Avenue at just 74% occupancy and 1221 Avenue Americas at 93% occupancy. The vacancy at 100 Park represents the assemblage of a large part of space, which should have been under negotiation for seven months, but which has not been consummated to-date. The vacancy at 1221 is a result of holding a plot to space there available at very high rents. Vacancies at 42317, 711, 100 park and 1221 contributed to the modest same store NOI growth that we saw during the first quarter. We expect that the same store NOI numbers will revamp during the first quarter of 2008, although the occupancy at 317 will likely continue to lag as that property is managed with and eye towards future redevelopment and income recognition on the vacant spaces at 100 Park will likely not occur until the fourth quarter of 2008 at the earliest. The company's other income for the quarter included approximately $5 million of lease cancellation income from one of our properties in Connecticut. This was in addition to realizing...excuse me, this was realized and then we were subsequently able to release a substantial portion of this face to a major financial institution, which was at Realco [ph] and one of the reasons why so good economics coming out of the suburban portfolio for the fourth quarter. Our other income also included approximately $10.4 million in fees from Gramercy. The incentive fee from Gramercy was down modestly for the quarter as GKK focused on building its liquidity and preparing for its merger with AFR. However you can see that the GKK contributions remained substantial and should continue to grow following the merger. As Mark noted, these metrics exclude over $30 million that SLG received related to its incentive fee on one Madison and special dividend that was paid out by the Gramercy in January. A structure finance investments provided $20.8 million of interest income for the quarter, but reflect little to no benefits from the current quarters investments, since the majority of those investments were made at the end of the quarter. Interest expense was higher principally as a result of having the One Madison Avenue that consolidated for a full quarter. In addition during the quarter, we stopped capitalizing interest on certain projects, and we also recorded a $1.6 million mark on an interest rate hedge, accelerating the reorganization of interest expanse, which otherwise would have been realized in 2008. In closing, we remain confident about our ability to meet the guidance set forth at our December investor meeting, and are optimistic that our strong liquidity will enable us to capitalize on investment opportunities. As people continue to ask whether the Manhattan market is headed for a repeat of 2001 and 2002, it is worth remembering in those years that the company was able to generate average FFO per share growth of 11.5% during that timeframe. And with that, I would like to turn it back over to Marc.
Marc Holliday - Chief Executive Officer: Okay. Thank you, Greg. Before we open up for Q&A, two things I'd like to come back and address, spend a lot of time talking about the Manhattan metrics. And I think it's important, and we also acknowledged the great efforts this year of our management team up in White Plains, who oversee the suburban portfolio. They did an excellent job this year. $4.3 million square feet portfolio in Westchester and Connecticut to remind listeners. We exceeded NOI projections for the 11 months of ownership by 14%, and also in terms of new and renewal leasing there was about 500,000 feet of leasing that this group did, broken down almost equally between new and renewal leases. And in the aggregate, those leases were 19.5% above plan. So, excellent leasing stats in markets that don't quite have the same dynamics as we enjoy in Manhattan, so hard it to pull those results together. Occupancy is slightly above 90% in markets that are roughly 85% to 86% leased on average in Westchester and Connecticut, respectively. And we had over a 10% mark-to-market on that leasing activity, again across Connecticut and Westchester. Greg mentioned a lease termination that we received over at Rye Brook two when MCI terminated; and within two months of termination, there were leases signed with a major financial services company and another advisory company for over 39,000 square feet at rent substantially higher than MCI was paying. So the pay blend and extent is not limited only to Manhattan, and these guys pulled it off twice up in Westchester. And I want to congratulate them on that. We are strategically ramping up our cross selling efforts. Diamondback came to New York City this year. is 200,000 feet Chesapeake and Brown [ph] we exported to White Plains or they chose to export themselves to White Plains, and we helped that was 10,000 square feet. We have four projects currently underway, total capital budget around $10 million that we are sprucing up to obtain higher rents, two in White Plains one in Rye Brook and...sorry, one in White Plains, one in Rye Brook, one in Greenwich and one in New Jersey. So we look forward to those capital dollars bearing some fruit in '09, and across the portfolio, we have very strong credit tendencies. Only one tenant on the watch list that's about the 25,000 square foot home builder; other than that, we feel very good about the credit in that suburban portfolio. So I wanted to bring you up to speed on that. Lastly, we mentioned one of the big projects for us this year on a value-add basis. We talked about investments and leasing, but also on a redevelopment side, 1515 Broadway, we expect to kick that redevelopment off some time mid year. That will be probably one and an a half to two year full swing, but that's going to be the most ambitious redevelopment project we've undertaken to-date. And we look forward to giving you more details about how that unfolds on the next conference call. With that, we thank you for your time, and open it up for questions. Question And Answer
Operator: [Operator Instructions]. Your first question comes from the line of John Stewart with Credit Suisse. Please proceed.
John Stewart - Credit Suisse: Thank you. Marc, I was hoping I could get you to amplify on your comment that financial service firms are much leaner today than they were going until the last downturn. Just hoping if I could get you to kind of quantify that a bit and address how much you think that we'll see come out of the market of sublease space?
Marc Holliday - Chief Executive Officer: I would have to work to quantify for you. I can only do it at this moment by feel Citigroup, J.P. Morgan were big downsizers back in '01, '02. Buildings like 522 Fifth...the one that when full build into...
Unidentified Company Representative: 522 Fifth, 245 Park.
Marc Holliday - Chief Executive Officer: Andrew, the other one is that chase downsize out of it...
Andrew W. Mathias - President and Chief Investment Officer: 1166 Avenue of Americas and 245 Park...
Marc Holliday - Chief Executive Officer: Right, also...or Schmack had a big block of space, they've sublet some of that. I can serve them financial services. There was a block at 450 or 33rd, so again there was much more identifiable big blocks, where I can just rattle off on the top of my head, JP Morgan Chase, City, Schmack [ph]...
Andrew W. Mathias - President and Chief Investment Officer: Goldman Sachs, Goldman Sachs of One Liberty had...I think two to three floors of technology, group ready space, I immediately downtown the sublet market in 2002, so...
Marc Holliday - Chief Executive Officer: So when you add that all up that is quite that several million square feet of space that just that overhang doesn't exist now, just because as I said, they got very lean, they grew; space got expensive, so they probably didn't grow. There were a lot more requirements on the table in '07 that will ultimately get done now as a result of the credit situation, but that space demand was a result of the fact that they had gotten very lean, they had very...5, 6 successful years back to back, and were they are tight. So now there will be less tight, but they are still not going to be at a point, where I think you are going to see big blocks come back from what we've heard from our tenants is that the space seems to be more Swiss cheese, if you use that terminology, but that's what it is with little pockets of space throughout the building, the cost to restack, create the contiguous space then the course to sublet only to then have the pay for growth again in 2, 3, 4 years. I think a lot of these folks are deciding, is going to be too prohibitive and they are not ready yet to make that kind of wholesale judgment. Without names, I will give you an example of one tenant we called recently; we thought it was no-brainer, because we heard there was some downsizing. We said, hey, we will take back some space for you, because we have a requirement we can fill it with and uptick it for ourselves. And the response was: we have nowhere to put them, thank you very much, which was surprising, but maybe that will change. But right now they didn't take us on our offer to take that, fairly sizable chunk of space. So that's the best thing to do here right now, we can maybe try and get you harder statistics after the call. But clearly, I can make that statement confidently that they are leaner.
Andrew W. Mathias - President and Chief Investment Officer: Yes, Marc, we have heard that from two our two largest financial services tenants have both told us they do not have excess space and we are not interested in giving back any space as part of those conversations.
John Stewart - Credit Suisse: That's helpful, thank you. My second question would be obviously another strong leasing quarter and the fourth quarter with respect some of that activity, where was deals that would have been negotiated previously. So my question is when you look at net effective rents on deals that are being negotiated today, what's your sense for the change from a year ago?
Unidentified Company Representative: Not radically different. The deals that we are doing today a little bit more concession we think, where it's going to a trend it to a little bit more concession. The fourth quarter transactions that we did were a combination of deals that were started sort of mid year and also a number of deals that were commenced and executed on a very fast track basis. The things that we have in the pipeline right now, pretty consistent with what we saw in the fourth quarter, but I will say that the sense is that we are going to...we like a lot of our owners are going to be a little more defensive. We are going to do a few more pre-builds in advance. If we have to stretch for an extra 5 bucks in TI or an extra month of free rent it's going to happen. But more I think as what as the market settles and as demand settles down, because you've got to take it in the context of all of last year was still massive rent increases. And as the economy softens and demand slows down, there has got to be an impact on net effective rents and even on the asking rents, because we are coming off from such a high.
John Stewart - Credit Suisse: And do you have the sense for what that changes today?
Unidentified Company Representative: I don't think you really quantified it yet, because the stats clearly are trailing reality. If you looked at the end of '07, rents across the board in Manhattan were still up 25% to 27%. If you can bear that over two years rents are up over 50% over the last 24 months. So I think right now you are going to see a kind of a flat line for a bit of time and it would be more on the net effective that you see rents trail off a bit.
John Stewart - Credit Suisse: Okay, thanks guys.
Operator: Your next question comes from the line of Kristin Brown with Deutsche Bank. Please proceed.
Kristin Brown - Deutsche Bank: Hi, good afternoon. I just wanted to ask if you are starting to see any opportunities from the private sellers in the market.
Unidentified Company Representative: Andrew?
Andrew W. Mathias - President and Chief Investment Officer: Sure, not really. There are couple of notable debt maturities this year, which I am sure you have seen in the press, which have put some assets in to play. None of those I would call distressed or sort of got to raise cash, so willing to take any price type opportunities, they are more professionally marketed processes. And beside from those couple of situations, the sellers in the market are generally patient and running broker processes, where as Marc mentioned in his section, we are continuing to see incredibly strong per foot prices and cap rates expenses.
Kristin Brown - Deutsche Bank: Okay. And then my second question is just as to the timing of the FAS 144 adjustment; is that evenly spread through the year or what's the timing?
Gregory F. Hughes - Chief Financial Officer, Chief Operating Officer: Yes, it should be evenly spread, kind of through 2008.
Kristin Brown - Deutsche Bank: Okay, thank you.
Operator: Ladies and gentlemen, please as a reminder, please remember to limit questions to two per person. Your next question comes from the line of Anthony Paolone with JP Morgan. Please proceed.
Anthony Paolone, C.F.A. - JP Morgan Securities, Inc.: Okay, thank you. Greg, last quarter you talked about $9 million, I think annualized FFO or NOI that was kind of on the side lines until leases actually commenced, running numbers. And I was just wondering if you could update that number, give us a sense as to if any of that came in the fourth quarter?
Gregory F. Hughes - Chief Financial Officer, Chief Operating Officer: I would say that the contribution to fourth quarter from those was modest, maybe $1 million to $2 million of the nine actually making it through and you should really love to see that coming through in the first quarter of 2008.
Anthony Paolone, C.F.A. - JP Morgan Securities, Inc.: Okay, thanks. And my second question is, I was wondering if you can...maybe for Andrew. Give us a little sense as to something like the GM building, which is reportedly up for sale, how SL Green might go about underwriting an asset like that in terms of IRRs, where you think market rents are cap rates residual cap rates, just anything along how you are thinking would go an underwriting right now?
Andrew W. Mathias - President and Chief Investment Officer: Sure; obviously, it's a unique property and one which is fairly unlikely will be competitive for that type of property. It's not been our bread and butter, fully auction process for that type of thing. But I think the buyer there and who CB Richard Ellis is hoping to find is going to be somebody who work under our rents between a $150 to $200 per square foot and from low to high in a building. And I think that type of buyer will be a 7.5% to 8% IRR type player, looking to experience significant rent growth in that asset, although the growth really comes between years 10 and 12 with relatively little. Until then there are some notable below market leases which will roll in about 10 or 12 years out.
Anthony Paolone, C.F.A. - JP Morgan Securities, Inc.: Okay. Thank you.
Operator: Your next question comes from the line of Jordan Sadler with KeyBanc Capital Markets. Please proceed.
Jordan Sadler - KeyBanc Capital Markets: Thank you. Marc or maybe Andrew, could you just give us a little bit of flavor for how the investor market is shaping up sort of real time? I know you did talk about cap rates over the last six months... transactions over the last six months. But what are we seeing sort of in last 30 to 60 days or investors are still clamoring and has the mix of people changed it all?
Marc Holliday - Chief Executive Officer: It continued strength... no, unlike leasing where Steve Durels gave an answer earlier was a little bit of a... we'll have to wait and see. Here's what could happen. Here's what we're seeing now. We can tell you real-time data the appetite from Manhattan office buildings is strong. I'll let Andrew discuss the mix, but as a matter of fact I had on the sheet. We can discuss the mix in a moment. There's clearly a lot of foreign buys, but there are a lot of domestic buyers. Cap rates not appreciably higher than they were over the past six months, and that's just based on our testing in the market now with some current offerings, and some other properties that we are aware of, that are out there. And available, all sort of confirming or reaffirming the comments we made earlier about the 19 trade that had gotten done. So --
Andrew W. Mathias - President and Chief Investment Officer: Yes, I mean Marc, I think the mix of buyers has been very consistent with our investor conference slide where you're still seeing a good diversity of buyers, foreign players, local... very wealthy local players who are not deterred by the fact that generally they're levering these buildings at 60% to 65%, maybe 70% as opposed to 80% or 85% before the credit crisis.
Jordan Sadler - KeyBanc Capital Markets: Okay. That's helpful. And my follow up is having listened to Gramercy's call last week, I guess one of the themes I took away from there is that they're hoarding liquidity. And I was curious to know if that thought process had led over into SL Green a little bit, and maybe if you could sort of comment on what your current liquidity is today.
Marc Holliday - Chief Executive Officer: Yes, I think we had... on Gramercy, we had raised money there. We do have a $3.5 billion acquisition over there that's scheduled to close at the end of March. And the opportunities particularly in the mezzanine and preferred positions that we were seeking out didn't really start to present themselves in large fashion till the end of December. So that was very much by design there, and we are very focused on closing a foreign transaction. At Green, I think I went kind of through the numbers as we think about it with 440 Times scheduled to close here in a couple of weeks who basically have $900 million of liquidity available under our line at L plus 90. So kind of at those levels you can easily put it out into kind of any investments, then it'd be very accretive. But we are naturally being selective. There's no urgency to put money out. We think we can meet our earnings expectations with kind of what we have on the play currently. And so we have the luxury of being able to be patient and wait for things to shape lose.
Jordan Sadler - KeyBanc Capital Markets: Okay. Thank you.
Operator: Your next question comes from the line of Jay Habermann with Goldman Sachs. Please proceed.
Jonathan Habermann - Goldman Sachs and Company: Hi. Good afternoon. I guess Marc or perhaps or Steve, but Marc, in your comments you mentioned that you could perhaps see a 10% to 15% drop in the net effective rent. I know you touched on it earlier. But can you just give us a sense of what you need to see in the market for that to take place? What level of lay-offs or where do you think vacancy needs to go?
Marc Holliday - Chief Executive Officer: You need to see in sublets space. I mean lay-off unto themselves is not going to drive it. I know you're asking, how do the lay-offs translate to the sublets space? You can't just... I couldn't tell you that. I don't know if Steve can either. There are people who make attempts at it. But it really relates back to my prior comments of how under capacity were these folks to begin with and then of these lay-offs how many are really lay-offs? What sort of natural attrition? How much is New York, and just non-New York? When is it going to occur? And if these institutions wind up with space, is it going to be continuous such that it can be a sublet or is it Swizz Cheese in which case, they're going to be much more low to do it. So, I think you're going to have to see a pretty high volume of lay-offs. And by high I would mean something in the range of 25,000 to 50,000 folks that are rising purely New York city in the primary space, that otherwise wasn't slated to be garnered replaced or moved, and that are replaced with new people, sometimes people are laid off and others will be higher, this is switching, caught fire and not laying off. And also you have to recognize that those 25,000 to 50,000 people, they get jobs. Some of the great... a lot of these financial boutique firms and hedge funds today that are occupying a lot of space and paying the big rents in Manhattan, a lot of them came out of the '01, '02, '03 decline. So it's not like, they're going and gone forever. So it's got... I can only say it's got to be a big number, I'd say 25,000 to 50,000 people which start to make an impact. It certainly... I don't think that would account for 3 to 4 points of vacancy because you need about 3 points or a 9% total vacancy rate to get back to a level that where tenants would have the... would be in the driver seat again. But it's a little bit of speculation. I think you better serve really just watching the sub-rent availabilities because that will directly impact the direct space.
Jonathan Habermann - Goldman Sachs and Company: Okay, thanks. And also in terms of acquisition opportunities, I guess, how far are you willing to push leverage in this environment? I know Greg, you mentioned, obviously the higher scrutiny on the balance sheet. But I am just curious, I mean, would you look more structured finance and how far would you move that area? And number two, what sort of leverage level are you comfortable at?
Gregory F. Hughes - Chief Financial Officer, Chief Operating Officer: Well I think structured finance, I think Andrew went through in the December investor conference. We very much expect that that's going to generate a lot of opportunity in 2008. In terms of how high could we yield with our leverage, a lot of our assets are with credit long term leases. So a lot of people would argue that they should be higher levered to begin with. So would you take that comfortably up to 60%? Yes, that's a possibility. Again we're going to continue with the investment demand being very hard to sell assets as a source of capital which is our reserve to help delever we are in the market with 1250 currently. But I mean if you had to circle could we go up to 50%? I think that's certainly a level we would be comfortable with.
Andrew W. Mathias - President and Chief Investment Officer: And by that I mean Greg is referring to our value. So we have our own independent view of value. I think on that basis we are below 50% today. So that's a lot of debt capacity. If we were so inclined I think if you look back historically we've never really been much above 50 or low 50's.
Jonathan Habermann - Goldman Sachs and Company: That's great. Thank you.
Operator: Your next question comes from the line of Michael Bilerman from Citi. Please proceed.
Michael Bilerman - Citigroup: Yes good afternoon. Greg you talked about 610-620 as reiteration of guidance. Can you just clarify? My understanding was at the 388-390 Greenwich was not in those numbers before, and I think you took some write-offs in this quarter that you said were part of '08. So I'm just trying to understand why guidance is not up.
Gregory F. Hughes - Chief Financial Officer, Chief Operating Officer: Well no, I think we had talked about in December that the guidance included some acquisitions. So I would say that, that would count towards that. And I mentioned that we're expecting some delay in the leasing over at a 100 Park. So that would be going in the other direction. So net, net, and giving the uncertainties in the market as we said today we are reaffirming where we got it six weeks ago.
Michael Bilerman - Citigroup: And where is your sense of acquisitions in terms of the FFO impact? It looked like this 388-390 is probably north of $0.10 on an annualized basis. What other... what offers in your guidance for acquisitions both in terms of on the structured finance or on just straight property that's embedded in your guidance?
Marc Holliday - Chief Executive Officer: Not much in the way of additional acquisitions, and we probably have a couple of hundred million dollars more source of finance, sort of embedded. But I mean things changed throughout, so we may exceed those levels which would be more accretive. There may be other areas that we would look to take our time on harvesting.
Michael Bilerman - Citigroup: And we have been active sellers as well.
Marc Holliday - Chief Executive Officer: So remember, everything we do, it could be one of two things Michael, either accelerate earnings or it can accelerate our ability to harvest create more what I call free capital, since it's not dilutive on share basis and then redeploy for future use. So our goal is always 10% a year. I think our compounded to date is over 11% per year. We were up 25% last year. I think our guidance for this year is around 6%. And we may do things that would cause us to go above that. This year I hope we do. But then we may use that as opportunities to be more patient in other areas to try and create as much positive momentum to '09 and '10 as possible. So last year we took the same approach but there was so much guffling [ph] on we were not very successful in trying to keep a measured pace there and obviously we were up 25%. Maybe we will be this year too but that's not our objective.
Michael Bilerman - Citigroup: And just remind me on 1250 which you are looking to sell. When you guys refinanced, you sort of took to promote and got a higher interest in the asset. I guess when you look to sell at the levels you are looking today is there any promote that will flow into FFO?
Marc Holliday - Chief Executive Officer: There could be yes.
Michael Bilerman - Citigroup: And is that included in the guidance right now or not?
Andrew W. Mathias - President and Chief Investment Officer: Yes, I think if you look back to the slide we presented it's actually contemplated that there would be absolutely some promote income flowing through. I think we mentioned it might come from 1250, it might come from 55 Corporate and... but we gave you a whole list without being very specific as to where it's going to come from.
Michael Bilerman - Citigroup: Okay. Thank you.
Gregory F. Hughes - Chief Financial Officer, Chief Operating Officer: Thanks Mike.
Operator: Your next question comes from the line of John Guinee with Stifel Nicolaus. Please proceed.
John Guinee - Stifel Nicolaus: Hi, one quick question. I have never in all the years I have been in the business seen so much negative expectations on a 6% vacant market with virtually no new product delivered in the next couple of years. Can you kind of walk through just real four or five quick sound bites as to the bull case for the Midtown market?
Steven M. Durels - Executive Vice President, Director of Leasing: Well, I mean if you want... the bull case is Libor drops to one. Treasury has dropped to 3, rental declines are modest 10%, 15% or less. And therefore the cost of funds decline has a much more pronounced impact than the rental decline or no or even rents flat. Foreign demand is unabated, and we are selling assets recycling, putting it into deals that are accretive out of the blocks. And you take the accretion that we can create internally and externally, and we could be seeing supercharge growth rates. I mean Greg said it before I assume, I would repeat I think was that important '01, '02, '03.
Gregory F. Hughes - Chief Financial Officer, Chief Operating Officer: '01 and '02 which are the...
Steven M. Durels - Executive Vice President, Director of Leasing: '01 and '02 our FFO was up 11.5% compounded I guess in two years. So that's pretty damn good. I mean I don't know there is not a lot of platforms out there that can take advantage of their markets and keep churning out 10%, 11% a year. Year after year we've been doing it for a decade now and hope to carry that forward. And there is a case where we take our billion dollars. We are kind... can lay the tracks for the next 2 to 4 years on what could be explosive capital gains like we saw over the past 2 to 4 years. Rents that don't really drift down that much and they are following cost of funds that's... that'd be a pretty bull scenario.
John Guinee - Stifel Nicolaus: Thank you very much. Great.
Operator: Your next question comes from the line of Chris Haley with Wachovia. Please proceed.
Brandon Meyer - Wachovia Securities, LLC: Hi good morning. It's good afternoon. It's Brandon Meyer and not Chris. Marc or Greg just to follow up on that comment. In terms of the company and the position for growth now relative to 6 to 7 years ago how do you feel SL Green is positioned for that type of FFO per share growth going forward?
Marc Holliday - Chief Executive Officer: Make sure I understand the question. Are we as well positioned now as we were in '05 '06 for that kind of growth?
Brandon Meyer - Wachovia Securities, LLC: Well more in '01 to '02 timeframe when there was another down market or similar down market?
Marc Holliday - Chief Executive Officer: Well I mean look our properties are better. We have got an equivalent amount of embedded rents. So I can't say more or less we are 40% plus embedded today. We were 40% plus embedded then, so that 40% kind of disappeared down to like five if you recall and that was because of all the factors that I went through earlier, I don't see the same factors here. So if we are more in the 20's than in the single-digits which I think I'm going to call it worst case because I am not making that kind of market call, let's call it a reasonable case. Then in that sense we should have a better organic growth. We didn't have a billion of liquidity relative to our total size then as we do now. So our ability to grow externally is much better. So, I'd have to say at least, I feel sort of equally as good. I don't know better because look it's... if we are a $13 billion company today and it's... I guess that's market cap is close around... the equity cap is around 6.5 or 7. And that is just a much tougher and bigger not to make those kind of earnings on. But we do, do it and we have a game plan where we see capital gains, incentive fees, retail opportunities, embedded growth in our rents, Gramercy suburban platform which I think is market here [ph], there will be some gains in that portfolio down the road. There's a lot of good things to point to and I think we'll be able to keep it up.
Brandon Meyer - Wachovia Securities, LLC: Great, thanks for the color on that. And then the last question in terms of relative opportunities between the structured finance opportunities and direct property investments. I mean how would you guys price the risk reward ratio between those two investments on current pricing, and just where more of the opportunities lie? It sounds like it's more in the structured finance side. But--
Marc Holliday - Chief Executive Officer: Yes structured finance... yes it comes and goes. There were times we've been big, big property partners. And last year until the credit sort of dislocated we were doing very little structured and we were doing kind of real estate. Now put aside Gramercy Greenwich [ph] itself was a massive investment. But in terms of the opportunities set out there risk adjusted basis to do mez, pref secondary market buys along with Gramercy for deals that are just too big in a market with scale dictate attention. So lot of people who can write $25 million to $50 million checks is not a lot you can write $250 million checks for debt today. And the combination of Green Gramercy can we get preferred pricing. If you listen to Gramercy's call we got a lot of product at the end of December that went either entirely for the benefit of Gramercy or in some cases it was participated that's our agreement. So, Andrew once you are way in, but I think clearly I think the opportunity today was--
Andrew W. Mathias - President and Chief Investment Officer: Yes, I would agree a shifting back a bit towards structured finance although look as I said I think 388 Greenwich was the most compelling real estate opportunity we have seen in several years.
Brandon Meyer - Wachovia Securities, LLC: Thank you.
Operator: Your next question comes from the line of Jamie Feldman with UBS. Please proceed.
James Feldman - UBS: Thank you very much. Can you just talk a little bit about your credit watch list in terms both the structured finance portfolio and any changes to their core portfolio?
Marc Holliday - Chief Executive Officer: Any changes to the core portfolio meaning the real estate?
James Feldman - UBS: Yes, I mean tenant, physical tenants.
Marc Holliday - Chief Executive Officer: Let's take it reverse order Steve, tenant delinquency types etcetera. We haven't seen it, we moderate it very closely. We have every 30 days, we have a large group that assembles to go through every single tenant in the portfolio, anybody who is trailing behind payments. We haven't seen an any material erosion on that. We've had a couple of small tenants who have come to us and said, hey I need to work with the space but I am going to downsize or get rid of my space. We have actually converted each and every one of those into an opportunity to replace the tenancy with higher rent paying tenants. But just to quantify that it's a handful of deals we see fairly modest amount of space. So we haven't seen any real shift on the ageing of arrears or those tenants coming to us expressing concerns we are sort of getting out in front of a problem I think that's testimony to a couple of things. One is it's a different dynamics today than it was in the last market downturn. We had to check rack in the telecom guys who were in industries that were weak and going out of business. Today the majority of tenants are much healthier businesses. And certainly the tenants within our portfolio given the quality of the buildings, the quality of the tenants and the extensive amount of efforts that we have put into over the last couple of years to bet out the credit of our tenants upon leasing space I think pulls out that we are in pretty good. Steve right now
Steven M. Durels - Executive Vice President, Director of Leasing: I guess so that's on the tenant side. On the structured finance side I would say anything directly originated by us or in Gramercy, I should say Gramercy then participated through us. I think we have nothing in the way of any kind of credit exposure, and Andrew can confirm... Andrew is that accurate?
Andrew W. Mathias - President and Chief Investment Officer: Yes in the structured finance portfolio.
Steven M. Durels - Executive Vice President, Director of Leasing: Yes, and then Wheel, Reckson which we inherited to smallish kind of positions but we inherited them. And one of them I think is Glen Cove Long Islands, how big is that position Andrew?
Andrew W. Mathias - President and Chief Investment Officer: I'd have to come back John [ph] I think it's about $15 million or less.
Marc Holliday - Chief Executive Officer: It is a $10 million position we have. There may be small amount of exposure. I mean this is immaterial in the grand scheme but just for, because you asked the question, I think we are somewhere between covered or this is a de minimis exposure we may have in the $10 million investment. And the other one is this RSVP situation which we kind of stepped into when we bought the New York asset and suburban platform, that we have a... it's a quasi-passive position there which we're going to start to focus on more intently. Again not a big position, I think it's okay but again it's... I feel better about the stuff we originated and the stuff we've taken over. And those are the only two areas that we'd even call soft spots in the entire structured finance portfolio which today stands at $800 million. So we're pretty proud of that record.
James Feldman - UBS: Okay, thanks. And then in terms of the guidance, what does it assume for same store growth for both the consolidated in the JV portfolios?
Gregory F. Hughes - Chief Financial Officer, Chief Operating Officer: Around 6%.
James Feldman - UBS: 6% blended.
Gregory F. Hughes - Chief Financial Officer, Chief Operating Officer: Yes.
James Feldman - UBS: So I guess there was a 4% decline in JV this quarter, that should turn or do you think that stays negative for--
Andrew W. Mathias - President and Chief Investment Officer: Yes I think, well I think the number is a little misleading. On one of the properties we had substantial lease cancellation income in the fourth quarter last year. I think you'll see a significant turn coming out at 1221 Avenue the Americas and likely an uptick from 100 Park which was under redevelopment for the balance of 2007.
James Feldman - UBS: Do youthink they both end up around fix or are you still consolidated much higher?
Gregory F. Hughes - Chief Financial Officer, Chief Operating Officer: I think it's probably... those ones is not quite as high as that, but they will be picked up by some of the other assets in the portfolio.
James Feldman - UBS: Okay. And then year end occupancy, what is guidance assumed?
Gregory F. Hughes - Chief Financial Officer, Chief Operating Officer: I think I got to check for you, I think it's around 96%.
James Feldman - UBS: It's pretty much flat from where we are?
Gregory F. Hughes - Chief Financial Officer, Chief Operating Officer: Yes.
James Feldman - UBS: And then total square feet lease, I think you guys were at 282 this quarter, that's some kind of low for... I mean do you think you rents up or is this kind of the new world?
Gregory F. Hughes - Chief Financial Officer, Chief Operating Officer: I think, we have kind of three quarters of a million square feet of scheduled lease expirations next ext year. And we've always been... we have always exceeded the scheduled lease expirations, but those have been in up markets. So, we'll have to wait and see how 2008 unfold to see whether we are more aggressive or just being with the scheduled expirations.
Steven M. Durels - Executive Vice President, Director of Leasing: Yes, remember that our scheduled explorations for '08 were a 1,200,000 square feet. We knocked off at the end of '07 over almost a 0.25 million square feet of that, 20% of our '08 roll was already to bid before we started the year. So as a year, this is a fairly light year of leasing. So, I think we'll still do a lot of production for the year, and I think we'll also see a good deal of opportunities come our way that are outside of world, where we take space back and convert it into on selected basis into opportunities for upticks. Because at the end of the day we still have massive mark-to-market to harvest.
Operator: Your final question comes from the line of Michael Knott with Green Street Advisors. Please receive.
Michael Knott, C.F.A. - Green Street Advisors, Inc.: Hey guys. I may be the only one left by now.
Marc Holliday - Chief Executive Officer: We're all with you Michael.
Michael Knott, C.F.A. - Green Street Advisors, Inc.: Okay. A couple of quick questions. I think that you told me before that the Graybar Building is a good barometer for smaller tenants. And I have noticed that over the past several quarters you've lost about 400 basis points of occupancy there. Can you just talk about that particular building for a moment?
Steven M. Durels - Executive Vice President, Director of Leasing: It's more timing than anything else. Graybar actually is a very light year. Our biggest tenant that was scheduled to roll this year was Bank Leumi. We renewed them last year that was over 50,000 square feet. They upticked their rent, they did it early. We are in negotiation with our second biggest tenant to renew them right now of about 25,000 square feet. After that the largest piece of space that rolls in the building, I think it's about 8,000 square feet this year. So, we are sitting on a couple of points of vacancy in the building. I think we will... and I think it will be pretty stable throughout the year. We're stilling seeing tenants come to the building with modest expansion needs, still starting new businesses. I think it remains a very good barometer. We haven't seen material subleases coming on to the market through this particular building. So, a year where we got ahead of it and really took care of business last year, and I think we are in a very good shape for the balance of the year.
Michael Knott, C.F.A. - Green Street Advisors, Inc.: Yes, Steve, it's Michael. The building is not yet about 1.4 million rentable, I think plus or minus 7 points of vacancy would be about 100,000 square feet. Steve does that sound... what would comprise the biggest component of the hundreds or is there a lot of little spaces?
Steven M. Durels - Executive Vice President, Director of Leasing: It's a lot of little spaces there. Right now, we have got about 45,000 feet of current vacancy. We've got another 27,000 feet of space that is just rolling over the next month or so and then another 72,000 feet through the end of the year. So not a lot to talk about the biggest piece of space that we've got to knock it off. And I'll correct one thing is that we move the tenants from Graybar over to 485 Lexington Avenue late last year. Konica Minolta, here we needed to expand, so we moved them within the portfolio. And therefore we have got their 20,000 feet back that was...
Michael Knott, C.F.A. - Green Street Advisors, Inc.: On top of the 45,000.
Steven M. Durels - Executive Vice President, Director of Leasing: Yes, that was scheduled to roll before... out of the couple of years of remaining term on it but still very solid demand, rents popped into this building second half of last year where the average deals that we are doing today are in the high 50's to low 60's per square foot. And to add a little bit color on Andrew asked me or maybe it was last July or August where I never thought this building would be a $60 building. I said yes, you never see it, and two months later I was proven wrong. And those rents are still holding as we speak.
Michael Knott, C.F.A. - Green Street Advisors, Inc.: Okay. And then my last question is can you just talk a little bit about some of the deals in the structured finance portfolio that were added this quarter? It looked like the financing senior to your investments almost doubled to about $20 billion. Can you just talk a little bit about that?
Marc Holliday - Chief Executive Officer: Andrew.
Andrew W. Mathias - President and Chief Investment Officer: Financing senior I am not sure we are at $20 billion.
Marc Holliday - Chief Executive Officer: What do you mean $20 billion, Mike can you just expand on that?
Michael Knott, C.F.A. - Green Street Advisors, Inc.: On page 31 of the supplemental.
Marc Holliday - Chief Executive Officer: Yes.
Michael Knott, C.F.A. - Green Street Advisors, Inc.: Just curious it looks like may be the riskiness of that pool increased significantly if I am reading that page right.
Andrew W. Mathias - President and Chief Investment Officer: I don't know... I think from the Gramercy call I mean we've actually decreased, lowered our last dollar LTV inflection point on our deals, because we are generally buying more senior mezzanine interest per yields that the most junior mezzanine used to carry. So most of the positions we've taken have been second, third or fourth losses as opposed to first losses. So it surprises me, I don't think it's--
Marc Holliday - Chief Executive Officer: Andrew I think we have extended stay.
Steven M. Durels - Executive Vice President, Director of Leasing: It's probably one that is a more... that's a very much--
Marc Holliday - Chief Executive Officer: That's just a more of a piece.
Marc Holliday - Chief Executive Officer: That's a very large trade. A lot of senior financial would have very small, relatively small piece of that.
Michael Knott, C.F.A. - Green Street Advisors, Inc.: It's a very small position in a very large financing. So you have that I guess aggregating on top.
Marc Holliday - Chief Executive Officer: Right. I would say by and large Michael you'll see us in... I am looking about 5 to 6 deals we did in the quarter. They were generally down the capital stack in terms of riskiness, that was one monster financing. I wouldn't imply that $7 billion of underlying debt, in any way sort of cross structured finance portfolio, I think it is limited to that investment. But it would otherwise skew how much is subordinate if you are looking at in the aggregate, so does it make sense?
Michael Knott, C.F.A. - Green Street Advisors, Inc.: Right.
Marc Holliday - Chief Executive Officer: So I think you got almost carved that one deal out and looked at it. Without that you have $13 billion relative to all the balance and then I think if anything we'd be the same or less on an exposure basis.
Michael Knott, C.F.A. - Green Street Advisors, Inc.: Okay, thanks.
Marc Holliday - Chief Executive Officer: All right. Operator that's all the time we have for questions. Thank you for whoever has been with us for hour and a half. We appreciate seeing you in December and rejoining us today to give you a commentary on the market. And we look forward to speaking to you again in three months. Thanks.
Operator: Thank you for your attending in today's conference. This concludes the presentation. You may now disconnect. Good day.